Operator: Good morning, and welcome to the SmartFinancial First Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Miller Welborn, please go ahead. 
Wesley Welborn: Thanks, Garrett. Good morning, and thanks to everyone for joining us this morning for our Q1 earnings call. We do always love being with this group each quarter, talking about our progress in our company.
 Joining me this morning on the call are Billy Carroll, our President and CEO; Ron Gorczynski, our CFO; Rhett Jordan, our Chief Credit Office; and Nate Strall, our Corporate Strategist.
 Before we get started, I'd like to ask everyone to please refer to Page 2 of our deck that we filed this morning for the normal and customary disclaimers and forward-looking statements comments. Please take a minute to review these. 
 Well, 2021 has certainly started off with a mighty fast pace for our company. The bank has grown rapidly over the past couple of years and, in particular, the past 12 months. We've grown our assets by more than $1 billion, and only about $400 million of them were acquisition related. Our organic pace of growth has been impressive, and we see nothing slowing down -- nothing slowing us down over the months ahead.
 Four major points of focus for our team this year to date have been strong tangible book value growth, ROA growth, ROE growth and EPS growth, and we do feel very confident and very proud of the progress we've made in all 4 of these areas to date. We talk often about how excited we are in the company, and we can't stressing enough about how we feel this company is positioned for the quarters ahead.
 With that, I'm going to hand it off to Billy to talk about a few of the points. 
William Carroll: Thanks, Miller. We did kick off the year in a great way, as Miller said, with a very solid first 3 months. Our company continues to take the steps necessary to become a key player in the Southeastern Bank landscape and build great value for our shareholders.
 I'm going to hit on a couple of highlights, and I'm going to turn it over to Ron to dive into then financials a little bit, and then on to Rhett to touch on credit.
 But first, we do believe the pandemic is clearly in our rearview mirror, although we are still operating cautious and safely in our markets, our markets and our teams are in the moment for the most part. Our sales team are back playing offense, and we are seeing great opportunities in all of our zones. We've had a couple of newsworthy items of late, so I wanted to start by highlighting those.
 Last week, we announced the signing of a definitive agreement to acquire Sevier County Bancshares and their subsidiary, Sevier County Bank, deal we were very excited about in our legacy market where we can achieve some great synergies with the combination. SCB is a $460 million bank with a very complementary book of business. We anticipate our cost savings to be over 60% on this deal, and it is a huge win for us. We've included some additional details on the deal on Pages 5 and 6 of our deck, but an excellent density play that will add nicely to our metrics. 
 Next, detailed on Page 7 of the deck, you'll see some information on some great additions to our SmartBank team. Over the last few weeks, we've completed a lift-out in our Gulf Coast region to add some muscle in South Alabama and the Florida Panhandle, another huge win for our bank with this team coming from a solid regional player. This move will be adding one office in Mobile, Alabama, along with our new Regional President, Nate Sommer, with the other members of the team expanding our existing presence in Fairhope, Alabama; Pensacola, Florida; and Destin, Florida. 
 While a lot of the quarter was spent on those 2 initiatives, it has not impacted our continued improvement on the financial front, a few of those highlights. Earnings, very solid at $8.9 million from both a GAAP and an operating standpoint, coming in at $0.65 per share, noting another noninterest income record quarter. 
 We had strong loan and deposit growth for the quarter. We organically grew core loans over $60 million or 10% annualized. And deposits grew over $240 million, 34% annualized. Outstanding results on both fronts. 
 We're continuing see clients hold larger-than-normal amounts of liquidity, and that does create some NIM headwind. But we are taking the approach to watch these positions through the PPP pay-off cycle to gauge how sticky that excess will be. This quarter also includes participation in the most recent round of the Paycheck Protection Program. We saw strong demand, and we were very glad to be able to offer clients and prospects this service, originating over 1,200 loans in this most recent round, totaling over $119 million in loans, also generating over $5 million in projected revenue. Rhett is going to provide additional details on this in a moment. 
 I've got some other comments as to what I expect as we move forward in 2021. But again, nice results from our company this quarter. Let me turn it over to Ron now for financials, and then Rhett will touch on portfolio and credit, and then I'll close with those comments. Ron? 
Ronald Gorczynski: Thanks, Billy, and good morning, everyone. I'll be starting on Slide 11. Focusing on the top graph, we continue to improve our ROA metrics assumed by the continued and consistent steady's ramp in profitability. Moving on to the lower portion of the slide, our operating return on average tangible common equity of 14.5% continues to be a bright spot for us. We have done an excellent job of managing capital levels throughout the pandemic and didn't rush to raise capital.
 Turning to Slide 12. As Miller indicated, we have continued our consistent trends of increasing our tangible book value with a 10.5% increase on a linked-quarter annualized basis. And year-over-year, we had increases of over 12%. On the lower portion of the graph, our operating efficiency ratio, represented by the green line, has been steadily improving. We are proud of our SMBK team for their continuous efforts on improving our efficiency levels. For the current quarter, we are still hovering at that 60% level.
 Turning to Slide 13, net interest income. We reported net interest income -- excuse me, we reported net interest margin of 3.48%, a decline of 9 basis points from the prior quarter. Our net interest income FTE was $26.4 million for the quarter, very consistent with the prior quarter's $26.7 million. We did very well considering the headwinds of 2 fewer days of interest, lower loan rates and continued repricing of the balance sheet, all being partially offset by our continued benefit from our decreasing deposit costs. 
 During the quarter, our loan yields, less loan discount accretion and PPP fees, have declined 23 basis points from the prior quarter, but the prior quarter did include 7 to 8 basis points of escalation from an elevated amount of loan prepayment fees as well as our participation in the 2021 PPP program, which negatively impacted our loan yields by approximately 6 to 7 basis points. Overall, the decrease in loan yields were offset by 27 basis points or $1.6 million of loan discount accretion and 40 basis points, or $2.4 million of PPP accretion.
 For our interest-bearing deposits, we had a decrease in funding costs of 6 basis points to 0.44%, with our cost of total deposits for the quarter at 0.33%. For the second quarter of 2021, we will have almost 19% of our time deposits maturing and repricing, so we still have an opportunity to further reduce our deposit costs, taking maybe another 2 to 3 basis points. Overall, we're removing loan discount accretion and PPP fee accretion, we believe our NIM has bottomed. Our expectations for our NIM is to hold steady and slowly rise during the latter part of 2021 and beyond.
 Over the past several quarters, we've been maintaining elevated cash balances. Our average cash balance has increased almost $68 million for the quarter, with a quarterly average balance of $417 million. This elevated position of excess liquidity has negatively impacted our margin well over 20 basis points. As we have mentioned previously, we have taken a conservative approach and have been patient in the deployment of our excess cash since we don't know how permanent our liquidity position will be, going forward. These patience may have benefited us if -- this patience may have benefited us because if the forward interest rate curve materializes, we would be in a good position for deployment. We anticipate to use some of our excess funds to fund projected loan growth, and we anticipate on layering in more bond purchases over the next several quarters to get our securities asset ratio closer to the 10% level.
 Looking forward, we are forecasting a second quarter margin around 3.20%. We are estimating to have loan accretion of 9 basis points or approximately $546,000 and estimated PPP loan fee accretion of 31 basis points, approximately $1.9 million.
 Moving on to Slide 14, operating noninterest income. We had a great quarter for operating noninterest income as we continued our momentum in growing this category. For the quarter, we reported $5.7 million of operating noninterest income, an increase of almost $1.2 million from the prior linked quarter. Our service charge and interchange fee income remained stable. We had $124,000 increase from investment services from the continued growth in our assets under management. 
 For our mortgage banking team, we had another great quarter. As expected, our Q1 income is a little softer than the previous quarter, but still had revenues reaching over $1.1 million. As our pipeline remains strong coming into Q2, we are seeing some headwinds with increased building prices, delaying some projects, decreased inventory as well as an uptick in interest rates. With that said, we are still expecting some good things from our mortgage team for 2021 as we continue to grow this division.
 We also had an outstanding product from our insurance division. Looking forward into the second quarter, we expect to gain some traction with additional fee income from our newly hired Director of Capital Markets. In addition, we have recently executed a branding agreement, which will provide increased interchange fee income during the second half of the year. Our forecast for the second quarter is having noninterest income of $5.1 million.
 Continuing on to Slide 15. Again, we want to take the opportunity to once again introduce our family of revenue generators. During the quarter, we started to see some positive traction from our new internal referral system that's providing many ways directly to our revenue generators. We are highly optimistic that our continued focus will drive increases in our noninterest income category moving forward.
 Turning to Slide 16, you'll find our operating noninterest expenses. As you can see on the slide, we are maintaining our level of expenses and are continuing to remain focused on expense control. During the quarter, our noninterest expenses have increased slightly. Some of the variances were our salary and employee benefit expense decreased slightly for the quarter, primarily relating to salary cost deferrals for the PPP loan originations. Our data processing and technology expense increases were related to peer pricing adjustments from our core processor and other technology-related expenditures. 
 Our other expense category had an increase of $578,000, with the majority of this increase related to our strategic investment in a start-up fintech company focusing on technology and the digital saving app space. Offsetting these increases were decreases in both our professional fees and amortization of intangibles, where the previous quarter had a higher level of expenditures.
 Looking forward, our forecast for the second quarter is having noninterest expenses around the $20 million area, with salary and benefit expense around $12 million range. The reason for the increase from the prior quarter guidance is primarily attributable to the salary and expense run rate for the 8-person Gulf Coast lift-out team and additional expenses related to the company's health insurance premiums and technology-related spends.
 Before we move to the next slide, let's touch base on taxes. Our income taxes for the current quarter reported an effective tax rate of 21.5%, which includes tax benefits derived from our continued involvement with the State of Tennessee Community Investment Loan program and, to a lesser extent, the benefit from having additional BOLI income. We are forecasting our effective tax rate of 21.5% for the second quarter of 2021.
 Moving on to Slide 17, we look at our deposits. We have -- as we previously indicated, we have seen significant growth in our deposits. Our overall composition of deposits have continued to evolve, with time deposits currently making up 17% of our deposits. When compared to the same quarter last year, we had our time deposits making up over 30%. 
 Now to deposit earnings. We had another fantastic deposit quarter. Our total deposits continued to accelerate during the first quarter, with an increase of almost $243 million and ended the quarter over $3 billion, up over 30% from the same prior year quarter. For the current quarter, our noninterest-bearing deposits ended at $778 million, up over $92 million and represented almost 26% of total deposits compared to 18% for the same period quarter last year. In addition, our money marketing savings deposits were up over $154 million, and our time deposits continued to decrease down $38 million. At quarter end, our brokered deposits to total deposits dropped below the 2% level.
 With that said, I'm now handing over the slide to Rhett Jordan, our Chief Credit Officer, to go over loan and credit-related info. Rhett? 
Rhett Jordan: Thank you, Ron. Beginning on Slide 18, our loan portfolio continues to show stability and diversification, with outstanding balances up approximately $105 million quarter-to-quarter and the overall loan mix staying similar to previous quarters. As mentioned, our portfolio grew by just over $100 million, with approximately $60 million of that being organic growth across our footprint. Our CRE portfolio saw a slight uptick as new projects were started, coupled with continued strong housing demand in our markets. Open marketplaces across our 3-state area have been consistently reducing COVID restrictions, and our client base is reaping the benefit of a robust start to 2021. All in all, a solid quarter with continued strong performance in the book.
 Moving to Slide 19. While we saw our loan outstanding realized solid growth in the first quarter, our overall credit quality metrics continued to perform very well. Our NPA ratio saw a mild improvement to 0.29% from 0.31% at year-end 2020. Net charge-offs for the quarter were 0.01%. And our over 30-day past dues trended similar to our fourth quarter 2020 results. Classified loans were 0.39% of total loans, down from 0.44% at year-end 2020. Overall, a continued strong quarter in credit quality metrics. We're also excited to report that our overall portfolio has returned back to near full normalcy from COVID-related modifications, and we ended the quarter with only 0.07% of our loan portfolio still in a COVID-modified status, just a few unique cases, with 100% of our hospitality and restaurant portfolio back to a non-modified status. 
 From a peak of nearly 25% of the portfolio in second quarter 2020, this is an accomplishment we are very proud of, and as a result of tremendous effort, innovation, dedication and teamwork on the part of our clients and our associates in navigating never-before-seen waters during the 2020 operating year. Overall, our asset quality continues to demonstrate solid metrics, overall, and stayed in line with best-of-class levels. Our outlook is positive, and we expect our historically consistent performance to continue in upcoming periods.
 As for our PPP loan portfolio, we continue to see expansion of our forgiveness applications during first quarter while also realizing strong volumes in new applications for round 2 of PPP stimulus. As noted on Slide 20, by quarter end, we had successfully processed and posted forgiveness payoffs on approximately 478 applications for just over $82 million in balances. We ended the quarter with about $218 million in balances remaining from round 1 advances, or roughly 73% of our originated total and expect the forgiveness trend to continue with a reasonable pace into the remainder of 2021, especially as funding for round 2 reaches capacity.
 In addition, as Billy mentioned, we have seen a strong volume of round 2 PPP production thus far, having originated 1,231 loans for just over $119 million and approximately $5.5 million in fee generation. This round has been a little more heavily oriented toward existing client applications in round 1, but still a reasonable mix with approximately 79% of fundings to SmartBank clients, 21% to prospective relationships. About 70% of borrowers in round 2 were repeat borrowers, having also received funds in the initial PPP issuance. Though not as heavy a volume in round 1, round 2 PPP still has been a very strong exercise in providing continued support to our client base through the pandemic and a solid revenue production effort for the bank.
 Now I'll turn it back over to Ron to walk you through our allowance positioning for the quarter. 
Ronald Gorczynski: Thanks, Rhett. Let's move forward to Slide 21, our loan loss reserve. As Rhett has indicated, we have continued our great stats for our credit quality. For the current quarter, we did not require a provision and had our allowance at adequate levels. We did utilize allowance to accommodate organic loan growth, but that was offset by both the improving economic environment within our footprint and other qualitative factors, including having most of our COVID loans going back to regular payment schedules. At quarter end, our allowance to originated loans, less PPP loans, was at 0.93%, and our total reserves to total loans less PPP loans was at 1.46%. Going forward, we will adjust our allowance as needed to accommodate the current economic and credit conditions.
 Moving on to Slide 22, our capital position. Our capital ratios remain strong, very consistent with the prior quarter and keeping up with our significant asset growth. During the quarter, we had $900,000 of cash dividends paid, and we repurchased almost 60,000 shares of common stock for a total of $1.2 million. We have recently suspended our share repurchase program due to our recent merger announcement. At our current levels, we are well positioned.
 Related to our merger announcement, our pro forma capital ratios remained strong and above well capitalized, and we are not anticipating the need for additional capital at this time. With that said, I'll turn it back over to Billy. 
William Carroll: Thanks, Ron. Thanks, Rhett. I really appreciate those comments. As you can hear, just a great quarter for our company. As Rhett alluded to, our markets are all performing extremely well. Growth in pipelines, very equally distributed across our markets. And we feel very bullish on growth over the coming quarters.
 I would add that our growth trajectory, up from previous quarter guidance between our markets being very robust, benefiting from strong population in play that we believe will continue for some time to come. And the new team members that we've added. I think we can move into the high single digits on loan growth for the coming quarters and the remainder of the year.
 Some headwinds with payoffs and paydowns as clients are holding again higher levels of liquidity, but our sales team is doing a nice job of keeping the deal flow.
 Ron mentioned a few of the headwinds with some of the continued margin pressure, but we have purposely held these higher levels of liquidity and cash. We believe this is the correct approach for our company even if it does drag net interest income slightly for a couple of quarters. Our confidence in our ability to grow loans is strong, and we do think the margins will level out in the coming months and allow us to take a look at these levels of liquidity and determine the correct utilization strategy.
 The Sevier County Bank deal, when properly executed, and we will properly execute it, is going to be a big one for our company. The synergy case, coupled with a great expansion marketing team in Richmond, Virginia, has outstanding upside. This transaction is anticipated to close in the third quarter with a Q4 conversion.
 A lot what I discussed earlier is something we would like to do more of. Our size, scale and earnings streams now allow us to do these types of needle-moving plays. While we continue to explore strategic M&A, you will see our company now pivot to an even more stronger disciplined focus on the organic front. We've always been able to produce nice organic growth. But moving forward, we will look to take more of a deliberate focus on this strategy. It's an exciting time to be part of our company as an associate and as an investor, and we are positioned extremely well to be opportunistic, moving forward.
 So I'll stop there, and we'll open it up for questions. 
Operator: [Operator Instructions] The first question comes from Stephen Scouten with Piper Sandler. 
Stephen Scouten: So I appreciate all the color on the new team lift-out and the slide in there. That's great detail. And I know, Bill, you said kind of taking up that loan growth guidance to maybe high single digit there. But I'm wondering with that team, in particular, if you could frame up for us kind of what was the size of their overall book, where they're coming from and kind of what you could expect from that team over maybe the next 3 years or so as they ramp up. 
William Carroll: Yes. Stephen, as you know, our projections for these folks are really pretty bullish. I think the total book that this team managed was somewhere in the $400 million to $500 million range. But we see -- I think they had also been hand strong a little bit with some areas that they couldn't focus on with their previous employer. We really feel like that we can get -- we can kickstart over the next couple of quarters really well. Our pipelines, they've been with us now for just a few weeks, and we're already generating rep about pipelines near $40 million. We are extremely bullish on where we can take this group.
 As far as kind of what we think over the next couple of years, probably yet to be determined. We know it's going to be good. I can't tell you how excited I am to have this team in our company. It's a perfect fit for our business model, diversifies us into more C&I. They got a much stronger C&I focus than what we have seen in some of the folks that we got in the past. But they also have the ability to do some nice real estate.
 We did Murfreesboro about 18 months ago. And I think our Murfreesboro looked at -- probably got overshadowed a little bit by COVID. That has proven to be extremely beneficial for us. Those folks were added right before really COVID cranked up, so they were a little muted in 2020. But we're seeing some of the growth that we're seeing this quarter is directly resulting from that team as well as others throughout our footprint. So I think we'll be able to start calling again, being able to get these folks accretive to income within just a couple of quarters and very bullish on where we can take it from there. 
Stephen Scouten: Okay. Great. That's helpful. And then maybe kind of 2 questions around the NIM. I'm wondering, one, what kind of drove the decline in loan yields ex PPP plus accretion? It looked like that was down about 23 basis points and just kind of wondering where new loan yields are coming on for new production. And then also where you would expect kind of this incremental securities investments that you were talking about to come on from a yield perspective. 
Ronald Gorczynski: Yes. This is Ron. Yes, I appreciate it. That's a good question. The 23 basis points, again, was distorted because we had an elevated amount for Q4. Our new loan production, I think we're -- and Rhett you can confirm this, we're far around the 375-ish area of what we're putting on. The bigger driver of this is, again, this PPP participation is weighing down, skewing our loan yields. And it's hard just to pull that out and say what it could be without it because if there's so many levers involved with that. As far as the bond repurchases, we have not solidified what area they'll be. This is something that we're just kind of kicking around out there right now. So there'll be more to come as we progress in that area. 
Stephen Scouten: Okay. Great. And then maybe just one follow-up clarifier. On the insurance revenue, is that like a run rate sort of item? Or is that life insurance, is that kind of a onetime deal within the insurance line item? 
Ronald Gorczynski: Yes. onetime, so even more of a onetime. But although we're looking to do more of that product, seeing some good opportunities, what -- probably not recurring at that level. 
Stephen Scouten: Got it. Perfect. 
Operator: The next question comes from Brett Rabatin with Hovde Group. 
Benjamin Gerlinger: This is Ben Gerlinger, on for Brett. I just wanted to do a quick follow-up. The high single-digit guidance that is inclusive of Gulf Coast, but excludes PPP in Sevier County, right? 
William Carroll: That is correct. 
Benjamin Gerlinger: Okay. And then if you think about the loan growth itself, it's kind of drilling in a little bit more. Are there any types of loans like loan categories that you are feeling more comfortable with today or that we should expect going forward? I know that construction costs was referenced. So I think that might be a little bit slower later in the year, but I was just trying to think of just how your -- the loan portfolio book might mix out by the time we get to the end of the year. 
William Carroll: Yes. Rhett, why don't -- do you want to touch on that? I think still -- I don't think we're looking to really take one sector over another right now, still fairly equally distributed. But do you want to comment on that? 
Rhett Jordan: Yes. I would say we don't anticipate the overall mix to look a whole lot different as we go through the balance of the year. Yes, construction costs are up, but we still have strong demand for housing. Really, I mean, we're seeing solid demand for residential housing, multifamily. I mean it's across the footprint.
 The other is -- what I would point out is, you mentioned the Gulf Coast lift-out. We also between that, our Murfreesboro marketplace, and we're also seeing a lot of good activity in our Southeast Tennessee marketplace in C&I. So we think that's an area that we'll begin to see some additional demand as companies kind of get their feet back under them and are looking to redeploy some of those capital they've accumulated. 
Benjamin Gerlinger: Got you. That's really helpful. And then if you look at kind of the PPP balances, I know that across the entire banking spectrum, some -- there's a wide variety of how -- how many have gone forgiven and how many still get in the books in terms of percentage and especially with these 2 programs. I'm wondering how you guys think about the forgiveness of 2020 and then 2021. Do you think you're going to start to see, and you'll come off the book in the second half of this year? I know it's not necessarily up to you, more so of the clients than the SBA, but I was just trying to think how you guys are planning and looking at that over the next 2 quarters or so. 
Ronald Gorczynski: Yes, I'll take that one. We -- this forgiveness process has been challenging for modeling, as you well know. But I think everything seemed to have lined up. And for the 2020 vintage, we expect that we have about $218 million left in that vintage. We expect about 55% of that to get forgiven in Q2, another 35% in Q3. And then the remaining $10 million, $15 million that's there, we'll probably just going to keep that to the end of the program, which is a 2-year cycle. So -- and for the 2021 vintage, we think there'll be a lot more expedient. So we have $119 million, $120 million in that bucket. We kind of modeled the Q2 of 10%, Q3 of 16%. And in Q4, we see -- I think that's going to be our bigger quarter, for about 29%, 30% of the forgiveness cycle for that. And then the trailing will go into 2022. So we'll have the majority of this forgiven, we believe, this year to 2021. 
Benjamin Gerlinger: Got you. Okay. And then my last question is a little bit more hypothetical, especially with all the noise going around the banking space. Being that you guys are kind of kicking up a year here in terms of overall growth, I was wondering how you guys are approaching your loan-to-deposit ratio, especially with the Gulf Coast and Sevier County coming on before the end of the year. I get liquidity is important, but then with the deposits coming in and out with this massive influx across the banking space, if you were to kind of strip away all the noise, are there any guardrails that you're using internally to kind of manage to? 
William Carroll: Yes. I would say we've got -- I think those guardrails have probably been the ones where we always manage to -- we typically like to have loan to deposits. And particularly, we've been in the 90% range. And obviously, we've had success in being able to grow our loan portfolio and grow funding at a pace to kind of keep it around that 90%, give or take, level. Obviously, the liquidity that's in the markets now, I think we're all trying to figure out how sticky that is. As you go through the PPP forgiveness cycle, folks get those loans forgiven, but where will that liquidity go? Will it be -- how will it be spent, utilized, invested? So I think for us, that's one of the reasons we're comfortable holding a little extra cash right now, is that -- let's see how the next couple of quarters play out, and then hopefully, we can get back to a little more normal loan-to-deposit level within the next year or so. That's what we'd love to see happen. 
Benjamin Gerlinger: Okay. Sounds good. Congrats on the great start to the year. 
Operator: The next question comes from Kevin Fitzsimmons with D.A. Davidson. 
Kevin Fitzsimmons: I'm just curious on the focusing on organic growth, Billy, that you've kind of emphasized there. Is that just a recognition that you've got a deal pending and you're going to be focused on integrating that? Or just -- I guess kind of what I'm wondering is, is it a possibility to be open to further M&A while this one's even pending or still being integrated? It's fairly digestible? Or is it just acknowledgment that, that was more of a specialized situation and you don't necessarily have the currency to go out and pay what expectations are right now? Or maybe that's not -- maybe it's not a good assumption that you would have the green light to do additional deals while this one is still going on? Just curious on the thought process on focusing organic exclusively. 
Wesley Welborn: Yes. I'm not really worried about the currency price. We can't control that. We keep performing. The currency will take care of itself. We think we have good regulatory relationships and have not ever been giving any challenge there. So we're not really worried about that. I just think at the size we are now at $4 billion, roughly, when we get SCB in here, we don't have to do another deal. We have got plenty to focus on here internally. We drove hard this last couple of quarters on PPP, our ROA, ROE and EPS. And man, if we keep focusing on those, we will be just fine. I will say that the lift-outs are a real focus for us. So we think we can do -- we have a hyper focus on that and that potential. So we will -- the SCB deal was a great deal for us at 60-plus percent cost saves. I keep saying if somebody gave us another one of those, that was a great fit, good for us. But we want to be internally focused. And... 
Ronald Gorczynski: And I'll add, yes. And Kevin, to talk about greenlight, we've not had -- we could definitely integrate another -- we could do another deal if we wanted to do another deal. Our team is very capable of handling that. I think it's a couple of things. I think it is -- we've said very clearly over the last several quarters that we are moving to a much more disciplined focus on our financial metrics. We've gotten a great scale. We've built a great platform. Now we've got to leverage it. For some reason, the market just does not get [indiscernible]. When you see us trading at the levels that we're trading at. From a [ marketing ] pinpoint, it's crazy. It's absolutely ludicrous. So that said, we're not going to go out and overpay for a deal we never have. And so I think, for us, I think the best thing for us to do is just focus on making money and growing EPS. And I think you'll see that come to fruition over the next few quarters. 
William Carroll: Sooner or later, all of you analysts are going to believe our story and buy into it. 
Kevin Fitzsimmons: Well, I believe. 
William Carroll: We know you would, Kevin. We appreciate it. 
Kevin Fitzsimmons: I don't know who these others are, but anyway... 
William Carroll: Thank you. 
Kevin Fitzsimmons: But I guess to be fair, Billy, like the focus for years was getting scale and growing and less about putting up the profitability, and now you've got to scale to a point that now it's time to focus on delivering that higher level of core profitability and maybe everything just takes care of itself with that, with the multiple and everything. It's going to be less muddled in terms of what the profitability is you're delivering versus what it could be, I guess, is how it's probably fair to look at it, right? 
William Carroll: I think I think you're spot on. You're spot on. It is. We built a platform, now we have to deliver. And I think that's kind of what the changes that we've made over the course of the last 12 months with upgrades and finance talent, upgrades and tech talent. When you look at our company, we look a lot different than we looked 24 months ago, in a great way. And I think a lot of it, too, kind of going back to the lift-out, you've got to have an earnings stream that allows you to make the types of investments to really make these needle-moving plays. Now we've got that. We can afford to make an investment in a team that might have a slight drag for a couple of quarters. And so I think the focus there -- I would rather take a couple of cents of dilution on that versus taking a larger dilutive deal, even though -- I think we're always open to strategic opportunities, I think you're going to see us focus really, really hard on execution over the next little bit. 
Kevin Fitzsimmons: Billy, on the subject of the team lift-outs, I'm just curious if you can share it. With this situation, was it a case of them coming to you? Or were you really on the hunt for a team to put in place in that market? And then looking further out, are there other markets -- it's a fairly broad geographic spectrum right now looking at the franchise. Are there other markets where you would look for a similar kind of situation? 
William Carroll: Yes. Definitely. Definitely. We're on the hunt for -- we're on the hunt for those opportunities. I -- and I said, even probably a little more so now, coming out of this than we have been. I think we've always been open to look to add sales talent. But I think that's a big piece of it. This team, in particular, was a little bit of both. It was a -- some folks we've met and did great timing from our side and their side. But I do think there will be opportunities as you continue to see more consolidation in the space above us. I think it will provide some great opportunities for a bank like ours that is a nimble, that's flexible but can still do larger deals now at this point. As Miller said, knocking on the door of $4 billion post SCB, that we can deliver a lot to really good teams that want a great place to work. 
Wesley Welborn: Yes. It's a success breeds success, as you all know, and it's a common notion. But we're aggressively searching, and we have been fortunate enough to fill a couple of calls inbound that they are searching us. So good combination. 
Kevin Fitzsimmons: Okay. Great. And one last one for; me, and I apologize if you guys have talked about this before and maybe I just don't recall it. The fintech start-up, is there -- can you provide a little color or background? Is that going to require additional spend or just any kind of background on that? 
Wesley Welborn: Yes. That start-up is in China. [indiscernible] is not a start-up, a couple of year old company. We don't think it will require any additional spend on our part, very strong banking team that's running at bank operators understand it. Great opportunity. We've got a good value on it, and we're learning a ton about that space. And it has been and will be a good investment for us. 
Operator: The next question comes from Feddie Strickland of Janney. 
Feddie Strickland: So I guess I just wanted to round back to -- it sounds like hospitality and restaurants just broadly not really an issue for you guys. Is that correct? Just between the Panhandle and kind of the Smoky Mountain area from our discussion last week, it sounds like things are pretty good for you guys relative to what everyone else... 
William Carroll: I'll interrupt you. Absolutely. Yes, come to the coast or the mountains, and you'll see, and that's where a lot of that sector is for us. And both those markets have just been absolutely on fire, really, over the last 6 to 8 months, but in particular at the start of the year. 
Feddie Strickland: Got you. And then kind of along those same lines, I'm just wondering what you're hearing from customers just in terms of business sentiment. incrementally. I gather, cautiously optimistic is probably the phrase, but is there more optimism, I guess, than last quarter? 
William Carroll: Yes. I would even drop cautiously right now in our markets. I know different markets in different geographies are still a little bit different. But when you look at Knoxvilles and Chattanoogas and Murfreesboros and Huntsvilles and Mobile, when you look at Arizona's Tuscaloosa, these markets where we've got some really great team members. We're just seeing a lot of optimism. I mean, Rhett, you're in the markets frequently, do you want to give any color on that. 
Rhett Jordan: I would say it's very optimistic outlook. I mean the only, I would say, repetitive challenge you hear, and it's across industries, is finding personnel. That's the only thing. But if there's anything that is causing any degree of delay in customers really being able to just take off a lot of rocket like they think they could. It's finding the team members they need to be able to do it. 
Feddie Strickland: Got you. Interesting. Congrats on a great quarter. 
Operator: The next question comes from Catherine Mealor of KBW. 
Catherine Mealor: I've just got a couple of detailed questions as follow-ups. My first is just on the net interest margin guide for this quarter. I wanted to confirm that the 3.20% is reported, not excluding PPP and accretable yield? 
Ronald Gorczynski: Yes. The 3.20% is all-in. The big difference between last quarter and this quarter, really, we're expecting about $1.6 million less of the combined fee accretion and PPP accretion. We were elevated to last quarter. So it is all-in, combined. 
Catherine Mealor: Okay. Yes, that makes sense. Accretable yield is high. And then how should we think about -- I know you gave the guidance for accretable yield for this upcoming quarter. Is that a good run rate to use moving forward? And maybe bigger question is, what's the -- can you remind us of the discount that's remaining and kind of the pace that you think that will come off in the next, call it, 2 years? 
Ronald Gorczynski: Yes. Yes, our run rate -- actually, our run rate is pretty stable over the next few years. I think -- I don't have that in front, but probably about $12 million, $13 million left in that bucket. We're probably consistently going to see $400,000, $500,000 range. I believe Q3 -- or Q3, we'll probably have a little bit elevated amount just the way some of the loans are reacting in the model. But pretty much, it's -- unless we see prepayments and something that happens in the loan pools, that's pretty much a consistent run rate for the, I would say, near future, how is that? 
Catherine Mealor: Okay. Yes, that's great. That's great. And then how about on -- I know you gave the expense guide. Within that, the data processing moved up this quarter. Was that just due to the fintech investment? And should that normalize to kind of the $0.5 million to $600,000 kind of range we saw last year? Or is this a new run rate for data processing? 
Ronald Gorczynski: Yes, it was kind of a little bit of both. We did have expenditures. But last year, we indicated that we did enter into a new agreement with our core processor, and it was done on a tiered approach. So once we hit the $3 billion mark, our DP costs are -- to the data processor did go up. So our run rate pretty much -- to give you an idea on that expense category, we're probably looking for our run rate to be about $1.6 million going forward. Now that changed because we've not only have data processing, we included our line item, we included technology spend. We decided to kind of re-jiggle that account to include all the data process and technology and software expenses in that because data processing is just a piece of that whole puzzle. So it will -- I think what -- the $1.6 million will pretty much see the new run rate going forward in that category in totality. 
Catherine Mealor: Great. Okay. Awesome. And then maybe just last, just kind of thinking bigger picture, thinking about the margin. I know there's so many moving parts with the excess liquidity and increased loan growth. But just kind of big picture, how do we think about your asset sensitivity position once we get to a better rate environment? 
William Carroll: I don't think at this point -- we're slightly asset sensitive with our acquisition -- our upcoming acquisition. We don't see that changing that much. We'll get a little bit more, but we want to bring it down to the neutral position. So honestly, we're not going to see much change or significant change, pretty much staying where we're at. Again, we'll reassess this quarter-by-quarter as we go, but we're not seeing any wholesale changes on our part with that. 
Operator: Our next call comes from Jordan Ghent of Stephens. 
Jordan Ghent: I'm in for Matt. I had a question about the delinquency loans. They picked up a modest amount in this past quarter. Can you guys give any color on that? 
William Carroll: Yes. I'll let Rhett touch on that. 
Rhett Jordan: Jordan, I'll be happy to do that. I think that tick-up was related to one transaction where I'll make a long story short. We had a loan that matured in our book. It is related to a transaction where the -- it's a private entity that has some tax advantages associated with this particular piece of real estate. They were required to get a approval from a local municipalities tax board. And due to some issues at the municipality level, they were tremendously delayed getting that board to convene and make the election. And for our clients' benefit, we allowed that loan to just stay in a mature status. It hit the 90-day mark. That is why it ticked up for purposes of a loan approval and hit us a little bit in that capacity, but that will be resolved expected this month. There's no credit risk in that transaction. Strictly, the timing of the board meeting. Strictly timing. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Miller Welborn for any closing remarks. 
Wesley Welborn: Thank you, all, for joining us. As you all can see, we continue to progress. We're happy with where we are this quarter and the results we're putting out. Thanks for joining us, and I hope you all have a great rest of your week. Have a good day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.